Operator: Good afternoon, ladies and gentlemen, and welcome to Rogers Sugar's Fourth Quarter 2020 Results Call. After the presentation, we will conduct a question-and-answer session, which will be open to only financial analysts. Instructions will be given at that time. Please note that this call is being recorded today November 25, 2020 at 5:30 pm Eastern. I would now like to turn the meeting over to John Holliday, Chief Executive Officer. Please go ahead. Mr. Holliday.
John Holliday: Thank you, operator, and good afternoon, ladies and gentlemen. Today, I'm pleased to have Jean-Sebastien, JS Couillard, our new CFO joining me our analyst call. JS joined Lantic on September 8th of this year and brings over 25 years of experience in a variety of financial leadership roles. We are very pleased to welcome him to the Company and look forward to his many contributions and the added benefit that his experience brings to our executive team. During today's call, I will provide added context to the business and some insight on trends and changes in the industry. Please be reminded that today's call may include forward-looking statements regarding our future operations and expectations. Such statements involve known and unknown risks and uncertainties that may cause actual results to differ materially from those expressed or implied today. Please also note we may refer to some non-GAAP measures in our call. Please refer to the forward-looking disclaimers and non-GAAP measure definitions included in our public filings with the Security Commissions for more information on these items. Before getting into the results, I wanted to provide an update on our ongoing efforts to manage COVID-19 and to ensure the health and safety of our employees and the continued operation of our business. Since the beginning of this pandemic, our priority has been the health and safety of our employees and that has not changed. To help ensure the safety of our employees, our people, we are continuously monitoring risks in the workplace and adapting our work environment so our employees can safely perform their jobs. I'm very proud of our track record of zero outbreaks at any of our facilities. As a result of our thorough safety process and committed staff, our business has been able to continue to deliver essential ingredients to critical food supply chains. I believe our success stems from our ability to come together with true collaboration, care and consideration for the health and financial wellbeing of all our employees. We have built a trusting environment where open communication was provided early awareness risks and help to avoid outbreaks in our operations. In fiscal 2020, we estimate that we have invested $3.4 million across our business in COVID related expenses. In fiscal 2021, we will not waver from our commitment to adapt COVID-19 health and safety measures to provide a safe and reliable operating environment. COVID-19 has also brought more volatility and less predictability to customer demands. On balance, our business has benefited from positive growth. However, the impact to pantry loading and the fluctuation in food service demand has added complexity to end cost to our operations. This has been particularly evident in our sugar business, which was also dealing with the challenges associated with the Taber crop loss. Now let's turn to our fourth quarter results. Overall, our fourth quarter results were very strong with record sales volumes in our sugar segment and adjusted EBITDA up 41% for the same period last year. In the fourth quarter, we benefited from an extra week this year, which positively impacted both our volume and revenue. In addition, improved underlying demand in the sugar segment and increased volumes in the maple segment also contributed to the strong results. In the fourth quarter, the sugar business shipped 225,000 metric tons, our highest volume ever in one quarter, which represents an increase of 14% or approximately 29,000 metric tons compared to the same quarter last year. Sugar sales increased across all segments, partly due to the extra week. In addition, volumes increased as demand for industrial clients returned to normal, COVID related consumer demand continued and export volumes increased due to the announced U.S.-Canadian specific refined sugar TRQ. Our annual shipments exceeded the prior year by approximately 19,000 tons. When you consider that in order to achieve this growth, we had to first make up for the 62,000 metric ton Taber capacity loss. This was truly an outstanding result. During the year, our sugar manufacturing and supply chain performed extremely well under very difficult circumstances. By increasing our investment in both our Vancouver and Montreal facilities, we were able to deliver the improved reliability and throughput we needed to make up to the 62,000 metric ton loss from the Taber beet shortfall. Turning to the current beet harvest, this past spring we decided to contract 30,000 acres of sugar beet in Alberta, an increase of 2,000 acres from last year. Our decision to increase our crop this year was influenced by our very strong fiscal 2021 sales book, which assumes continued moderate organic growth, the benefit of approximately 15,000 metric tons of new CUSMA export volume and return to normal export shipments to Mexico. We expect the Taber will produce between 125,000 and 130,000 metric tons of sugar this fiscal year this despite less than ideal weather at the tail end of the crop. Margins in the fourth quarter in our sugar business improved due to strong consumer demand and shipment of approximately 19,000 metric tons of higher margin TRQ volume, partly offset by additional supply chain costs incurred to deliver these volumes. In fiscal 2021 with the crop shortfall and supply chain challenges of fiscal 2020 behind us, we expect to be in a much improved position to take advantage of firm industry demand and support our customer needs. We expect that our cost structure will benefit somewhat from lower supply chain costs in fiscal 2021. In our Maple segment, sales volumes have been very strong since the onset of COVID-19 and continue in the fourth quarter. Sales volume totaled 13.2 million pound in the quarter, 29% higher than the same quarter last year. And for the full fiscal year, sales were equally impressive with a 25% improvement in volume over the prior year. In the fourth quarter, we also saw the benefit of lower manufacturing costs driven by our operational optimization and efficiency improvements. Unfortunately, unforeseen and continued labor availability constraints have limited some of the operating flexibility we had expected to achieve. In response to these marketplace conditions, we're implementing additional operational improvements and enhancing our employee attraction and retention capabilities in fiscal 2021, which we expect will improve operating flexibility and unlock more capacity. While overall Maple margins lowered in the fourth quarter, we continue to secure moderate margin improvements on contract renewals during the quarter. We've adjusted pricing to recover costs and manage our profitability, and we expect these changes to have a positive impact on gross margin percentage beginning in fiscal 2021. We've carefully undertaken these changes, allowing us to maintain customer loyalty and our market competitiveness. Before wrapping up, I wanted to discuss our strategic collaboration with DouxMatok, a food tech company and pioneer in the development of efficient flavor delivery technologies. They're focused on delivering a unique sugar reduction solution cane sugar to food companies in North America. We have worked with DouxMatok over the past two years to successfully bring innovative concepts to commercial scale - to commercial scale manufacturing and are encouraged by the results we have seen. Although this represents a small portion of the sweetener market with the trend of returning to natural cane sugar, we're seeing in many of our consumer products. We believe it could provide a competitive offering in this niche market. The announcement of our partnership to DouxMatok was coordinated with them having product formulation and sales resources now in place in the USA. Sugar reduction solutions have a long selling cycle, and we don't anticipate sales to commence until calendar 2021. With this being our first entry into this niche market, we will provide more information later at a later date once we have a better understanding of the market response to the introduction and can begin to assess its future potential. Before I hand the call over to JS to provide more details I wanted to emphasize our success and resilience in fiscal 2020 and our ability to make the best out of a very demanding year. I am proud of the team - of how the team responded to the many challenges and what we accomplished, while also dealing with the impacts of a global pandemic and severely curtailed beet harvest and multiple periods of extended real disruption. In fiscal 2021, we expect to see ongoing improvements in our operations. In our sugar business, we expect to see improved supply levels, lower operating costs, and supply costs, continued modest growth and overall improvement in mix and margins. Domestic sugar market growth will continue to benefit somewhat from the high fructose corn syrup conversion trend to natural sugar and continued capacity investment by food processors of high sugar containing products leverage favorable Canadian sugar economics to increase value added exports. In the Maple business, we expect to benefit from a lower manufacturing platform and a more stable and potentially improving competitive environment. Overall, we expect to generate continued EBITDA growth in the year ahead. Despite the ongoing challenges of COVID-19. I want to again thank all our employees for their continued efforts in collaboration, especially throughout the COVID-19 pandemic, where they have proudly demonstrated their commitment to each other and to our customers. Now, I will turn the call over to JS, who will provide additional information on the quarterly results and future outlook.
Jean-Sebastien Couillard: Well, thank you, John, and hi everyone. Before I begin with the financial overview of the quarter, I would like to thank the Board of Directors of Rogers Sugar for their confidence, and I would like to add that I'm very excited about the opportunity to join such a strong organization. As John mentioned, we have had a very strong quarter with record sales and improved profitability in our Sugar segment and increased volumes in our Maple segment. Consolidated adjusted EBITDA for the year was 4.5 million higher than last year at 92 million. For the fourth quarter, adjusted EBITDA amounted to 31 million, up 41% from the same quarter last year. Overall, we are very pleased with our performance, and as we look out to fiscal 2021, we are seeing firm demand in both of our business segments and we expect to see improved margins, which should translate into higher adjusted EBITDA for this year. Turning to our Sugar segment now. In the quarter, we recorded sales volumes of 225,000 metric ton, our most ever in a quarter, and 29,000 metric ton improvement over the same quarter last year. Our previous record for fourth quarter was 200,000 metric ton in 2018. About half of that variance was driven by an extra week included in the last quarter of fiscal 2020. And the remaining difference came from improvements across our operation. Excluding the benefit of the extra week, the underlying factors that drove our increased volume in the quarter include; a return to more normal demand levels in our industrial accounts, after several months of COVID-related reductions, ongoing COVID driven pantry loading in our customer retail segment, additional demand from existing liquid customers, driven by COVID volatility impact and higher volumes as we saw the benefit of additional U.S. TRQs in the four quarter. We expect such increase in export to continue in 2021. As a result of higher volumes and improved pricing in the current quarter, adjusted gross margin and adjusted EBITDA increased in the current quarter. Adjusted gross margin was up by 46% from the prior quarter, as higher average sales price improved our profitability. During the quarter, increased just overall sales, especially in higher margin segment, such as customer retail and export along with stable operation costs led to adjusted gross margin per metric ton of $158, up $34 per metric ton from the same quarter last year. Adjusted EBITDA reflects our strong operational performance, but was partially offset by increased administrative and selling expenses and higher distribution costs into current quarter. As we continue to manage our operations through the challenges of COVID-19, we incurred about $1 million in additional administrative and selling expenses associated with the pandemic, largely related to protecting and compensating our employees, while our operations continue to perform at full capacity. Administrative and selling costs also increased due to higher compensation and benefit costs in the current quarter. Distribution costs in the quarter increased largely due to supply chain and logistics incremental costs related to higher sales volume. From the sugar segment, adjusted EBITDA in the fourth quarter was strong at $28 million, up 42% the same quarter last year. Moving on to our Maple segment. The strong demand we have seen over the past several months continued into fourth quarter. The pantry-loading movement associated with COVID-19 pandemic led to higher Maple volumes in the current, totaling more than 13 million pounds and increase of 3 million pounds from this same quarter last year. While volumes increased by about 30%, revenue increased by 20% due to lower pricing level that reflects the competitive pressure we experienced earlier in the year. Over the past six months, the Company has focused its marketing and sales efforts towards improving its sales margin to higher pricing on large accounts. The impact of improved pricing is expected to fully benefit the Company starting in 2021. Adjusted gross margin of $4.6 million was largely in line with the same quarter last year. However, gross margin percentage was lower at 7.9% as compared to 9.7% last year, as the impact of lower pricing offset the benefits of increased volumes. Adjusted EBITDA for the Maple segment was $3.3 million in the fourth quarter, up from $2.6 million last year. Now turning to our financial. Free cash flow for fiscal 2020 increased by about $9 million compared to the prior year, including the impact of higher share repurchase in the current year. This increase was mainly driven by higher adjusted EBITDA and lower capital spending net of return on capital investment. During fiscal 2020, we continue to return capital to shareholders through a share buyback program and through our dividend. In the past 12 months, we repurchased approximately 1.4 million shares and paid out $37.4 million in dividends. Our share buyback program remains in place and we will continue to consider repurchasing shares in conjunction with our various cash flow needs and other available opportunities to add value for shareholders. Today, our Board of Directors declared a dividend of $0.09 per common share. The total payout is estimated at $9.3 million. Looking forward to fiscal 2021, we are optimistic about our business. Despite the ongoing challenge of COVID-19, we are seeing firm demand for our product and with the crop shortfall and added supply chain costs behind us, we expect 2021 to show continue to improvement. It is important to note that our outlook assumes that our plants will continue to operate fully as they have done so far during the COVID-19 pandemic. For our sugar sector, we expect volumes to grow by about 5,000 metric tons to about 766,000 metric tons in fiscal 2021. Our ability to further increase volumes is largely driven by higher export volumes as a result of new export quotas and the resumption of deferred beet sugar shipments to Mexico. We also expect to see ongoing improvement in our industrial segments, as demand returns to a more normal level, which will be partially offset by lower customer volumes of the benefit of COVID-19-related demand subside. Distribution costs are expected to lower at the additional supply chain costs associated with the Taber crop shortfall in fiscal 2020 are no longer impacting our operation. Capital spending for the current fiscal 2021 should range between $25 million and $30 million, with about a quarter of that allocated to return on investment projects. For our Maple segment, we expect to see improved margins driven by our successful contract renegotiation with new and existing customers. Margins are also expected to improve as we lower operating costs through optimization and efficiency improvements at our facility. The competitive environment continues to remain stable. However, we remain committed to working closely with our customers and providing high quality products and customer service. We continue to expect steady growth in demand for Maple related products although we expect a tampering from the increase that has been driven by COVID-19. In conclusion, we close 2020 on a very positive note, with a strong performance in the fourth quarter, mainly attributable to increased sales and improve margins. Despite this year's challenges, we continue to deliver value to our shareholder with a steady dividend stream. We look forward to another successful year in 2021, as we intend to capitalize on recent investment on a firm global sugar demand and improvement profitability in our Maple business. With that, I would like to turn the call back over to the operator for question.
Operator: Thank you. [Operator Instructions] Your first question comes from George Doumet from Scotiabank. Please go ahead. Your line is open.
George Doumet: Good evening guys and congrats on a strong quarter. Turning over to the sugar outlook volumes for next year supposed to be -- are expected to be up. There are positive benefits to mix. The fee ratios are behind us. Just wondering why you expect the EBITDA to improve only moderately there? Is that just an element of conservatism there, John?
John Holliday: I would express that as conservatism. COVID has been good to us in the sense of volume, particularly in maple which you didn't ask but didn't sugar as well. And there is no doubt whether returned to more normal supply chains will benefit substantially from that.
George Doumet: Okay, maybe moving over to the maple products side of the equation. Can you maybe give us an update in terms of the Granby facility how it's trending along with the efficiencies? And how should we think of quantum the margin improvement next year? I guess Granby facility in the face of some of the labor issues that you guys called out.
John Holliday: Yes. So, in the maple -- on the Granby facility, we're making measured progress. We've done good improvements on the business. So, we're still working on, I'll say, process changes and to improve our efficiency. But I would say measured progress and we're pleased with where we're at and we will be achieved - we will achieve our goals here. We're very comfortable with that from the most recent results that we have seen. Labor remains a challenge in some of the remote areas due to COVID, due to safety nets, but we've been focused on trying to improve the attractiveness of our business and trying to improve retention of employees in the maple business, which will also help us in achieving our productivity results. Margin improvements are going to come largely from customer contract renewals. There is absolutely some benefit from the operation side of the business, but the larger if you want to call effort or opportunity lies in the improvement in margins, which we've been renegotiating on a contract by contract basis. And as JS pointed out, we'll be benefiting from beginning in Q1 of fiscal '21.
Jean-Sebastien Couillard: I was just going to add George, if you look at the demand, what we're seeing as far as demand for maple product, and specifically in maple syrup, it's still very strong. What we're forecasting is the demand will remain very strong for that product.
George Doumet: Okay. And do you guys want to share all the quantum of the price increase that you announced?
John Holliday: No, we won't share that pacifically. Let's put this way. I'll use the word moderate. We were getting increases. We're recovering our cost of goods. We're making increases and we're seeing as we've shared all along a better environment, competitive environment. So, it's one step at a time, but I'll characterize it as moderate.
Jean-Sebastien Couillard: Sorry, there's been some positive impact on demand from COVID as far as people being home and doing more cooking, and Maple products have definitely benefited from that. I think that the, for us, the key is to see how much of that is going to stick versus go away and go back to normal. We believe a certain portion of that will actually stay.
George Doumet: Okay. So maybe one last one for JS, can you maybe quantify the contribution the extra week in terms of sales and EBITDA?
Jean-Sebastien Couillard: Well, from a from a volume standpoint, it's about 14,000. So, and I think, if you look at our overall, you can easily see that’s about 1.7 between $1 million and $2 million from an EBITDA standpoint.
Operator: Your next question comes from Stephen MacLeod from BMO. Please go ahead. Your line is open.
Stephen MacLeod: I just wanted to circle back on one thing there. Can you just give a little bit of color around, you gave some great margin or sorry, volume, outlook color on the outlook? Can you just break down a little bit around what's driving the export growth? In other words, some moving parts and I just want make sure – I just want to see how that how that breaks down in terms of all the new programs?
John Holliday: Is that on a looking forward basis?
Stephen MacLeod: Yes.
John Holliday: Yes, okay, looking forward. So on looking forward, we have approximately in this year CUSMA volume that is grown because of the new renegotiated contract. And essentially, we have available to us on CUSMA volume about 25,000 metric tons of sugar. It's I mean around these things, we have a 10,000 metric ton tranche and another 10,000 metric ton tranche. One of those trenches is calendar and one of them is crop year related. The crop, the calendar portion, which is the new CUSMA 10,000 tons was available in the prior fiscal year that we just ended, and we didn't execute on it. So, we've carried that forward and now have essentially 25,000 tons of CUSMA volume available. And then the other probably material change is because of the crop loss we had. Last year, we made a decision to defer or time shift some of our commitments and sales to Mexico. And those will restart, they have restarted. They're roughly 15,000, 14,000 tons additional volume. So, those are the two material pieces that will impact our exports for next year.
Stephen MacLeod: Okay, that's helpful. So just trying to reconcile that because it says that the export volumes are expected to be up about 10,000 metric tons, but it sounds like you sort of walk through potentially 40,000 metric tons. Is there something - is that just the timing of shipments?
John Holliday: And I'm not sure, if I follow that question. So again, compared to this year, I've just given you two pieces that have changed, that are changing. The Mexico volume is increased by 14. I don't understand maybe I wasn't clear.
Stephen MacLeod: Okay. No, I am just looking in the outlook section and it says you expect export volumes to be up 10,000 metric tons versus 2020. But then, in the numbers that you just provided, it sounded like you had 25,000 under that CUSMA contract and then 114 to 15 under Mexico?
John Holliday: Those are kind of some significant changes. They're not the total amount and if you were supposed to reconcile that against last year, it's easier for me to reconcile the CUSMA or the export. TRQ volume last year was somewhere around maybe 20,000, 21,000 tons.
Stephen MacLeod: And then just turning to the Maple segment, it sounds like, there could be a -- there's going to be an inflection point in margins this year. And I'm just curious, would you expect margins to potentially begin to approach back to that sort of eight, like high-eights, low 9% region that you were putting up in the Maple business, when you first bought, when you first invested in that segment?
John Holliday: I would say that is the path forward. I think that we'll, I think it's -- my experience has been you go down faster than you go up. So, we are moving -- we will move back to those sorts of levels, that's our plan.
Stephen MacLeod: I would expect that - it right to assume that would happen over not this year, but maybe over a multiyear period?
John Holliday: You've got it, exactly.
Stephen MacLeod: And then maybe just on a more near-term, post Q4. In fiscal Q1, have you seen any increases in retail demand above and beyond what you would have expected just given that we have seen some lockdowns and shutdowns begin to implemented in several Canadian provinces?
John Holliday: It continues to remain strong. Retail was up a lot last year. We still in a COVID environment still have, we still see that. I mean, I'll be very frank with you looking forward and giving you any detailed look on what happens or what going to happen in our business. It’s so strongly influenced by COVID, we don't have any analog for the head. So it's a direct, I can only give you direction on what the behavior has been so far as for sure retail business has been strong as a consequence of COVID and as has Maple, extremely strong, surprisingly strong, frankly, on the Maple side.
Operator: Your next question comes from Michael Van Aelst from TD Securities. Please go ahead. Your line is open.
Michael Van Aelst: Did you see any benefit on the volumes from the extra on the Maple diversion from the extra week?
John Holliday: Yes, same application, just look at 7%. We could argue the extra week. Yes, maple has been very interesting and different to the consumer business on sugar. Sugar is very lumpy. We get big pull for promotion in the pantry loading and then slow down. Maple has been constant. So very much easier to say that that extra week is worth probably 7% in additional volume.
Michael Van Aelst: And so, what do you think is behind the easier competition simply the stronger demand or is there something else happened?
John Holliday: I think maybe a settling in of the new competitive set helps. I think stronger demand absolutely helps. I think we're busy. We haven't been taking customers. We've been just servicing our own customers. And I believe that would be, what we're experiencing is not unique to our business. So I think the environment is much better from a competitive perspective.
Michael Van Aelst: So it's not a change in strategy on the part of your competitors more that they're busy enough with the existing COVID-related demand that they don't need to go after in volumes from others?
John Holliday: I think that's an important factor. Yes. But I think also, maybe, as I said, the competitive environment is more stable in terms of the disruptions that have occurred with our entry or the other competitors entry, so people are more settled in how to go to market and what they're going to do.
Michael Van Aelst: And then, on the sugar side, you mentioned that the weather was less than ideal at the end of the big campaign. Is that expected impact your beat quality at all or just the volumes?
John Holliday: A small portion of the crop has had some impact. That's why we're providing a range to the sugar output, but we're confident that that range is reasonable from the analysis that we've done on the harvested and stored beets.
Michael Van Aelst: Okay. And then the administrative and general expense, you called about $1 million of higher COVID costs in Sugar. But you had like almost $3 million, just over $3 million increase. So, is comp and benefits the other $2 million or is there a volume factor as well?
Jean-Sebastien Couillard: Mostly of the variants, Michael is related to comp and some of the different accrual that we had throughout the year. So a lot of, some of it is non-recurring as well.
Michael Van Aelst: Okay. And so, is that increase in comp and benefits tied to performance? Or is that performance bonuses that aren't really occurring is that you suggest necessarily? Or is it an increased staffing?
Jean-Sebastien Couillard: No, the non-recurring is not related to performance bonuses per se. There's some extra hiring in certain expenses, and then some of the accrual that we had and in our books that we had to make sure we had at the year end.
Michael Van Aelst: Okay. So, we shouldn't expect it to continue at that pace for '21.
Jean-Sebastien Couillard: That is correct.
Michael Van Aelst: Okay. All right. And then there's, I don't know if you saw -- if you wrote about in your press release or not because just half an hour, it's not enough time to get through everything. But, Alberta announced, I guess, the return of carbon tax. Can you comment on how you see that impacting your business, your margins?
John Holliday: Yes. I think quite frankly that just came out. I didn't catch that. We did change our carbon tax in Alberta. We actually applied and were approved as a heavier user. And in Alberta, we are no longer paying the carbon tax at the prescribed cost per individual. We're actually buying carbon credits, as a consequence of the new program that we are in, and that carbon credit costs is a comparative basis lower than the carbon tax costs, we incurred probably about a third of the cost.
Michael Van Aelst: Okay, all right. That's helpful. And then, when you look at your fiscal '21 guidance, I'm assuming that, new Heinz plant in Quebec is supposed to reopen late in the summer of 2021. Wouldn't be in there too late? But have you already been contracted for that business?
John Holliday: That business is a customer that we are aware of and we are, I think, the best located business to be able to supply them.
Michael Van Aelst: Any idea what demand that they would require once they open?
John Holliday: Material, absolutely, I don't really want to give you the exact number.
Jean-Sebastien Couillard: It's significant. Yes, it's a good number.
Michael Van Aelst: Okay. And when you talked about...
John Holliday: Important, pardon me?
Michael Van Aelst: Yes, okay. And when you talked about the employee retention initiatives in the Maple side, is that just wage increases or...
John Holliday: It can be looking at different shift structures that are more convenient and account accommodate people's lives a little bit better than. It's not all about money. It's all about trying to understand how to be more appealing to our employees. So, it's more in that vein than it is in the vein of changing wages.
Operator: [Operator Instructions] Your next question comes from Endri Leno from National Bank. Please go ahead. Your line is open.
Endri Leno: Hi. Good evening and congrats on the quarter. Quick question, for me, most of them have been answered. But, I was wondering if you can talk a little bit about the contract that's opened in the U.S. the 36,000 metric ton? I believe it opened in July and in December. I was wondering if you can talk, how much of that has been filled? And how much remains for the remainder of the year? And then potentially what you might've captured in Q4?
John Holliday: Okay. So that contract has been completely filled. We had expected, I think we spoke about it on Q3. We thought it would probably be open through early Q1, and that was not the case. Essentially, we reached very close to our expected volume on application for that contract or within our expected volume, but it is no longer open.
Endri Leno: And expected volume would be, I mean, are you able to quantify that 50% or 60% of it?
John Holliday: Between 40 and 60.
Endri Leno: Okay, thank you.
Operator: We have no further questions in the queue. I'd like to turn the call back over to presenters for any closing remarks.
John Holliday: Okay, thank you for all the good questions. We look forward to catching up to you at the end of Q1.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.